Operator: Greetings and welcome to the HeartBeam Second Quarter 2022 Financial Results Conference Call. At this time, all participants will be in a listen-only mode. A question-and-answer session will follow the formal presentation. As a reminder, this conference is being recorded. Before we begin the formal presentation, I would like to remind everyone that statements made on the call and webcast may include predictions, estimates, or other information that might be considered forward-looking. While these forward-looking statements represent our current judgment on what the future holds, they are subject to page two of six to risks and uncertainties that could cause actual results to differ materially. You are cautioned not to place undue reliance on these forward-looking statements, which reflect our opinions only as of the date of this presentation. Please keep in mind that we are not obligating ourselves to revise or publicly release the results of any revision to these forward-looking statements in light of new information or future events. Throughout today's discussion, we will attempt to present some important factors relating to our business that may affect our predictions. You should also review our most recent Form 10-K and Form 10-Q for a more complete discussion of these factors and other risks, particularly under the heading Risk Factors. A press release detailing these results crossed the wires this afternoon at 4:01 P.M. Eastern Time and is available in the Investor Relations section of our company's website, heartbeam.com. Your host today are Branislav Vajdic, Chief Executive Officer and Founder; Jon Hunt, Chief Business Officer; and Rick Brounstein, Chief Financial Officer, will present results of operations for the second quarter ended June 30th, 2022. At this time, I will turn the call over to HeartBeam Chief Executive Officer, Branislav Vajdic.
Branislav Vajdic: Thank you, operator, and good afternoon, everyone. I'm pleased to welcome you to today's second quarter 2022 financial results conference call. Our second quarter was highlighted by steady increment [ph] along our commercialization pathway, including the upcoming submission of our emerging -- product now called AIMI to the FDA on or about August 15th. We continue to make registering [ph] our second product, the telemedicine platform, now called AIMIGo prepared for FDA submission in Q4 of this year. In evaluating the -- database for the clinical validation of HeartBeam AIMI product, we discovered a significant number of -- patients -- to the category of unstable [Technical Difficulty] condition. Patients with unstable -- may have subtle electrical changes brought on by [indiscernible] without definitive injury to the cardiac tissue. Based on these findings, we expanded the patient population for the company's -- software product to include -- as a diagnosis for analysis and provide access to wider patient inflation for our technology once we have clearance from the FDA. We have recently acquired the source code together with the perpetual royalty-free license for the Heart branded version of the FDA -- to live more HelloPlus [ph] platform, key components for -- our products. Moreover, this development will enable us to continue development of this powerful platform internally. We were privileged to welcome Ken Persen, to the role of Chief Technology Officer lead overall Technology Strategy and Development of the HeartBeam AIMI and HeartBeam AIMIGo platforms, Ken, has over 25 years' experience in the Digital Health Care and Cardiac Devices Industries. Most recently, he founded Digital Health Company a little more where he served as Chief Technology Officer. We were most honored during this quarter to be selected as a winner of the annual 2022 Cardiovascular Innovations side, -- recognizing our unique approach to Heart attack detection. I would now like to turn the call over to Jon Hunt, our Chief Business Officer to further discuss as our products and commercialization plans, Jon. John, you may be on mute Jon. John.
Jon Hunt: Thank you, Branislav. Turning to our product time lines and updates, we had several key developments and strategic partnership agreements related to our HeartBeam AIMI and HeartBeam AIMIGo platforms. As Branislav mentioned, the 510(k) submission of our HeartBeam AIMI platform to the FDA is imminent, and we expect to receive FDA clearance for a limited market release, by the end of 2022 and full commercial rollout in Q1 of 2023. We partnered with LIVMOR Digital Health Solutions Company to develop a HeartBeam branded version of LIVMOR's Halo+ FDA-cleared turnkey solution for remote patient monitoring to connect physicians and patients. During the quarter, we acquired the source code for the HeartBeam branded version of the FDA Registered LIVMOR Halo+ portal, which will help us meet our schedule for FDA submission and allows us to continue developing the solution internally. Recently, we engaged multiple partner Health Systems, and they provided the needed ECG data to complete our clinical trial that will be part of the FDA submission of our HeartBeam AIMI software product in the coming days. After this, we have plans for additional pilot studies for our end-to-end prescription-only HeartBeam AIMIGo System for remote heart attack detection in at-risk patients, as well as other future scientific and commercial collaborations with these health systems. HeartBeam AIMI is software as a medical device and the market clearance of the product is by the 510(k) regulatory pathway. The HeartBeam AIMI algorithm used in an acute emergency department setting, slots into existing clinical workflow, leverages existing 12-lead ECG hardware and provides the attending position with an instant comparison of the patient's baseline and symptomatic ECG for their consideration in the patient's diagnosis. Quickly determining if a patient needs intervention, or can be discharged helps, emergency departments manage patient throughput. Revenue will be via a subscription model and for high-volume EDs, we estimate this to average about $3 per patient. Next slide, please. Briefly, the total addressable market for the ED Software Solution is about $500 million. And for telehealth, we estimate to be at $10 billion and these estimates are for the U.S. market only. Turning to our HeartBeam AIMIGo product, we engaged Triple Ring Technologies, a co-development company to assist in the design and development of our HeartBeam AIMIGo complete solution, 3D vector ECG collection device for remote heart attack monitoring.  Triple Ring has a long history of successfully designing a wide variety of innovative medical products and underlying technologies. We're now working closely with its medical device team to rapidly build and test our 3D, ECG device. This joint partnership is a five phase expedited device development project, scheduled to be completed in the fourth quarter of 2022 in-time for our 510(k) submission to the FDA.  The HertBeam AIMIGo product incorporates the hardware design and development efforts of Triple Ring and our software firmware and remote patient monitoring platform development efforts. Engaging Triple Ring for the hardware development of the HeartBeam AIMIGo 3D ECG device to plug into our RPM platform, allows the company to provide an end-to-end Telehealth solution for patients and physicians. An added benefit of the partnership with Triple Ring is that they have an established relationship with an OEM manufacturer, who is able to manufacture the HeartBeam 3D ECG device at scale. In addition, the OEM manufacturer is capable of handling logistics and distribution for their customers, and so by engaging experienced development partners like Triple Ring, Part B management is confident we'll meet our project timelines for Q4, 2022 FDA submission.  HeartBeam is also in active discussions with Triple Rings manufacturing partner to support market release of the HeartBeam AIMIGo product in Q2 of 2023. The AIMIGo product is a 510(k) regulatory pathway. We've already identified a product device to demonstrate substantial equivalents with a simple clinical validation study. Clearance of the Gen 1 device allows us to collect 3D Vector Cardiogram Data and use these data to develop advanced features for our Gen 2 product. HeartBeam AIMIGo can use a clear reimbursement pathway with existing CPT Codes and the plan is to have a subscription model where HeartBeam builds the practice on a per patient, per month basis. And in our discussions with the commercial team with cardiology practices, they indicate this is a very attractive business model for the practice and provides an enhanced level of care for at-risk patients that they currently are not able to monitor.  This slide shows several companies in the cardiac monitoring market. While each product offers some of the capabilities of the HeartBeam AIMIGo, none of them are indicated for heart attack detection. The 12-lead ECG capability, integration of patient history and symptoms, presentation of comparative ECGs, both baseline and symptomatic to the physician differentiate it from other products on the market.  Note, while AliveCor recently introduced its KardiaMobile card shown on this slide, it is only a single lead ECG recording, does not contain the Vector information needed for heart attack detection, as recorded by the HeartBeam device. As we move towards commercialization, we continue to build a substantial moat of protection that will provide a distinct competitive advantage for our products. To-date, we now have a fortified IP portfolio of three issued US patents and six patent applications in advance or near-term -- near approval.  We believe HeartBeam AIMI and HeartBeam AIMIGo by leveraging our patented 3D Vector ECG technology offers substantial capabilities beyond existing offerings and we continue to engage with potential customers and partners in anticipation of FDA clearance and commercial launch of our products. I'll now turn the call over to Rick Brounstein, Chief Financial Officer, to discuss operational updates and financials. Rick?
Rick Brounstein: Thank you, Jon. I would like to first briefly discuss our sample financial model at scale for HeartBeam AIMI and our AIMIGo solutions, which shows that capturing even a modest percentage of our total addressable market results in a significant reoccurring revenue base. I'd like to highlight that our solutions also generate high gross margins under either base case assumptions, with gross margins above 80%. And finally, as the company scales operating margins can be in excess of 30% even as we increase investment in R&D. Telehealth is a much larger market opportunity compared to the size of the convergency department market. And over time, we expect that it will become the primary source of revenue. Turning now to our financials. I'll give us a extinct review of our financial results. A full breakdown is available in our regulated filings, regulatory filings, sorry, and in the press release that cross wire after market closed today. We are comparing results as a private company in 2021 to now a public company working on the commercialization of our first two products. So it's a very different and much more exciting story. Research and development expenses for the second quarter of 2022 were $1.7 million compared to $25,000 in the second quarter of 2021. Our focus on R&D consisted largely of product development costs HeartBeam AIMI, which is now essentially done and also HeartBeam AIMIGo. This includes both software and hardware, to latter with our professional services agreement with Triple Ring technologies that Jon talked about, to assist in the hardware for an AIMIGo. Additionally, there are clinical costs in support of our FDA submissions for both our products this year as well as research costs in support of the future product pipeline coming from our patented vector 3D ECG platform technology. General and administrative expenses for the second quarter of 2022 were $1.8 million compared to $312,000 and for the second quarter of 2021, reflecting the growth in our team and other costs in support of being a public company. Interest income during the three months ended June 30, 2022, of $10,000 is related to the cash balances from last November's IPO. In 2021, we have $608,000 expense tied to the 2015 convertible notes, which were converted and added to common stock as of December 31, 2021, at the IPO. Net loss for the second quarter of 2022 was $3.5 million compared to a net loss of $945,000 for the second quarter of 2021. We ended the second quarter of 2022 with $9.3 million in cash and cash equivalents compared to $13.2 million as of December 31, 2021. We expect that our cash position will provide runway into 2023 and the expected FDA submission in Q4 of this year as well as the clearance of the HeartBeam AIMIGo next year. I will now turn the call back over to Branislav, for some closing thoughts.
Branislav Vajdic: Thank you, Rick. In summary, we are well positioned to create long-term value for our shareholders. During the second quarter, we continue to operate from a position of strength, equipped with strategic partnerships, product development, near-term – cash – into 2023. Looking ahead, we are accelerating our commercialization path and remain confident in our anticipated upcoming product milestones. By the end of 2002, we expect to receive FDA clearance for our HeartBeam AIMI platform, and we plan to have our HeartBeam AIMIGo solution submitted to the FDA for clearance. We approach these milestones from a position of strength with an experienced team – by the rehiring of Ken Persen, our CTO, a new partnerships to support our goals. I look forward to providing our shareholders with further updates in the near-term as we move forward with our commercialization. I thank you all for attending. And now the HeartBeam team would like to answer any questions, operator?
Operator: [Operator Instructions] And our first question comes from Bill Sutherland from The Benchmark Company. Please go ahead, Bill.
Bill Sutherland: Thank you. Good afternoon, gentlemen. Wanted to ask a couple of things about the pilot studies you have ongoing, one was in the ED side at Phoebe Putney Health System. I think John was the one to ask that question of…
Branislav Vajdic: Yes, so Go ahead, Jon.
Jon Hunt: Yes. Phoebe Putney was one of the sites that provided some of the ECGs for our retrospective clinical validation study for the 510(k). So that data has been consolidated from the various centers, some used in the training set scenario, others for the validation set, which are obviously blinded to the people doing the testing. And so that's now completed. We've completed that clinical validation study for the HeartBeam AIMI product. So that's now just being finalized ready for the FDA submission.
Bill Sutherland: Is there additional studies that you have ongoing now that pertain to the Go product?
Jon Hunt: We're just in the process now of discussing those with some of our healthcare systems that we've approached, but we haven't finalized those yet, but that's in process. And that will, again, be conducted towards the end of the 510(k) process for AIMIGo.
Bill Sutherland: Okay. And one question on LIVMOR. I understand how that's providing you a nice ability to do your development kind of on their nickel. What about the branded version when you have the -- what's the outlook for the branded version of Halo+ for HeartBeam branded version?
Branislav Vajdic: Hey, Jon, please go ahead.
Jon Hunt: Yes. So as you know, originally, HeartBeam engaged LIVMOR more to do the development effort given they already had an FDA Registered RPM platform, but that is for their wearable solution. So they were creating a white label version of that for HeartBeam. And what we've done in the last quarter is, we've actually acquired the non-exclusive perpetual license that's royalty free. So, on a go-forward basis, that's more appealing to us, because it gives us control of the platform in its entirety for future development, but also relieves us of the royalty payments on a go-forward basis. So as Rick indicated, that helps us on the margin side as well and puts it firmly in our control once the submission goes in. So it puts us in a better position from my perspective from a business standpoint as well as financially.
Bill Sutherland: It was -- I thought very good cash management in the quarter. Rick, directionally, what's the outlook for R&D and G&A in the back half of the year?
Rick Brounstein : I mean, I think that dollar-wise, partly pretty constant, right? We've been -- we'll be spending -- we are spending with Triple Ring throughout the rest of the year. I mean, we continue to do some research, but not at a high level. So I think spending wise, if you take a look at the first six months of the year, I'd be surprised if we're very different as we go through the rest of the year.
Bill Sutherland: And then I guess no real -- really any sales and marketing until you're commercially ready with the ED product?
Branislav Vajdic: Well, I mean, there's some money in there already. I mean, we obviously, -- you see we started -- we've got new company names now for the products. And we are doing some work on maybe, it's a mix of PR and IR, but we are clearly, Jon has a team that is -- we're looking at some of that stuff. We've got the salespeople on board that are working with people that will do the early trials and ultimately lead to our first customers. So we are definitely -- we have a complete organization, I guess, this way to say it.
Bill Sutherland: Okay. Those are my questions. Congrats on all your progress. Thanks.
Branislav Vajdic: Thank you, Bill.
Operator: And our next question comes from Jason Kolbert from Dawson James. Please go ahead, Jason.
Jason Kolbert : Hi, guys. Thanks a lot. Congratulations a lot of inflection points coming up. Can you talk with me a little bit about what the clinical risk is associated with the FDA submission in Q3 that's anticipated for the AIMI platform?
Jon Hunt : So let me answer that question and maybe Branislav might my answer. The product that we as a first-generating of AIMI growth is geared towards the remote patient point. And in that sense, we defined a clinical study that will basically compare synthesized 12-lead ECG to a recorded 12-lead ECG, because we will be -- baseline 12-lead ECG synthesized and a plastic 12-lead ECG synthesized to the physician for their review for that patient that's outside of the record facility. So the nature of that study would be a simple comparison between the recorded and the synthesize 12-lead in terms of their diagnostic content, and so that's the name. I think we have not decided exactly when that will be performed, we are looking [ph] into a number of healthcare systems now. And we feel that that study and the whole mission is of fairly low in terms of the content and the outcome of the study. And so Rick anything else if you'd like to add?
Jason Kolbert: Okay. Thank you very much really -- sorry.
Rick Brounstein: Yeah. Sorry, Jason. Yeah, I think from my perspective, were you referring to the software solution first, Jason? That study or you trying to…
Jason Kolbert: I was just trying to follow the sequence of events as you've laid the math between the platform and the…
Rick Brounstein: Okay. So the AIMI platform, that study is completed. We feel very good about the results from that study, given the bar for 510K is to demonstrate substantial equivalents to the Predicate device, and we believe the results from the study we've just completed demonstrate that. The good thing is for AIMIGo to Branislav’s point, is that the algorithms themselves are identical in AIMI and AIMIGo. So we feel pretty good about that. But in addition, given we've got a hardware device recording the 3D vector cardiogram and then generating a synthesized 12-lead, we want to demonstrate also the robustness of that emphasized 12-week compared to an actual 12-week reporting. So that's in addition to the work we've already done with AIMI. So there's a logical regulatory stepping stone, if you like, for us to follow and we'll build on, obviously, the results we've already gotten from the clinical validation study for AIMI comparing ourselves with a Predicate 12-lead.
Jason Kolbert: Right. Where I was really going was, at what point is the data compelling enough to present, and I don't know where you presented at AHA, TCT or other kind of major meetings where you start to get key opinion leaders on board in advance of anticipating the commercial launches that begin late this year and into next year?
Rick Brounstein: Well, I think we already have some key opinion leaders at some of the health care systems were already at who are big believers in the technology. My experience has been companies typically don't spend a lot of time publishing their 510K substantial equivalence data. They might see more value in doing a post-market study and then perhaps having a number of KOLs participate in that study, so.
Jason Kolbert: Yes, is that part of the plan?
Rick Brounstein: Absolutely part of my plan. I think, it gives us a much broader remit to go and recruit some KOLs and do a prospective study rather than what we've just done, obviously, is a retrospective study, which still is of immense value to us to help us get through that regulatory hurdle, but I think most of our clinical value work will occur in a post-market setting.
Jason Kolbert: And can you talk a little bit about who's helping you with the actual filings and the interactions with the FDA, because that seems to be an area where a lot of emerging companies get themselves into trouble. And I'm just wondering what steps you've taken to de-risk that process. Because you do you have a great time line, a little aggressive, but it's great. And I just want to -- what gives you so much confidence that you're going to meet that time line.
Branislav Vajdic: I think one is that, within the HeartBeam management team, there are several of us that have pretty extensive experience dealing with FDA. I've run over 40 IDEs for Class 3 products in my career. Alan Baumel, our Chief Operating Officer, has run a number of IDEs also and Ken Persen, our new CTO has obviously been involved in the cardiac rhythm management and digital health industries for years. So we have used a consulting company with considerable experience that was already very familiar with the LiveMore platform. So we basically piggybacked on their expertise in helping LiveMore get their platform through, and so we didn't think it was worth reinventing the wheel, even though we're providing lots of input, obviously, but -- so we've engaged that resulting.
Jon Hunt: It's always smart to have an outside third party to allocate what you're doing, right. You never want to be too convinced that you're drinking your own kool-aid, even though your track record is impressive.
Jason Kolbert: Perfect. Thank you so much. That finishes my question.
Branislav Vajdic: You’re welcome. Yes, thank you.
Operator: And at this time, there are no further phone questions.
Branislav Vajdic: Do we have any other questions?
Operator: And Larry, you’re unmuted now.
Rick Brounstein: At this point, we will take a couple of webcast questions. The first ask, can you provide some color around the product remain.
Branislav Vajdic: Yes. So the request of our board, we initiated some work with a branding house and very experienced marketing firm. And we've decided from a company standpoint, we prefer to be a branded house rather than a house of brands. So for those of you in the marketing world, a branded house is someone like BMW or Mercedes Benz and House of Brands is someone like Procter & Gamble. So, we elected to be a branded house. We went through the normal naming conventions that you do we've created marketing firms and ended up with, I think, five or six potential names. And -- yes, ended up with AVI as our software as a medical device platform and then Amigo, obviously, with the product that goes with the patient anywhere and everywhere. So, that's the process we went through. And actually, we presented that to our Board at the beginning of this month, and they were quite pleased with the outcome. So, we've run that process over the last four or five months, so.
Rick Brounstein: And the next question asks if you can provide an update on Triple Ring?
Branislav Vajdic: Yes, let me talk to that question. Yes, yes. So let me provide an answer on Triple Ring action. We have been very, very pleased with how this project has been going. We are on budget, we are on schedule, and we have a very intense interaction with the Triple Ring team. Very capable team on all aspects of this project work and submission, beginning -- ready our product for submission, FDA. And, overall, we feel at this point there is absolutely no reason to believe that it will be delayed. We believe this is totally on schedule here and we’re extremely pleased.
Rick Brounstein: And the next question asked, if you are on track for FDA submission on the 15th of the month.
Branislav Vajdic: Yes. Let me give you some details about that. We have completed the study. Most of the implementation is as of today, ready. We are sort of crossing the T and dotting the I. At this point, it's all a matter of administrative tasks now that need to be accomplished. So we are confident that we will be submitting on or about on the 15th of this -- and again, it's all a matter of have the administrative things basically lined up. And all of them are being just as good in the final pages of the review prior to the submission. So we are very much and very close to the submission line here.
Rick Brounstein: The next question is, can you provide some color around the appointment of Ken Persen?
Branislav Vajdic: Yes. We were extremely pleased to be able to attract Ken Persen to our company. He brings an incredible amount of experience and capabilities that we will need -- we need today, and we will need going forward. He is the architect of the LIVMOR platform. We just had a perpetual license quarter [ph] which we licensed for. And in that sense, we have the ultimate experience now inside our company to provide us with the expertise to improve and change the platform to meet our needs. And although he is an outstanding match in terms of his technical capabilities and his overall familiarity with the markets and indeed, the technologies that are needed. So a 100% match and we’re very, very pleased that he has joined us.
Rick Brounstein: And our last question asks, how are you different in the ECG that is Apple Watch and KardiaMobile?
Branislav Vajdic: Let me ask John to talk about that in terms of that competitive step. John, please.
Jon Hunt: Yes. Thank you, Branislav. Okay. So Apple Watch is based on photoplethysmography. So it actually reads pulse waves and from that generates an ECG. It's a single-lead ECG. And KardiaMobile actually uses finger electrodes on a credit card and calculate cardiac activity, but also on a single lead. Our 3D vector ECG is fundamentally different than that we record in three planes, XY and Z. The heart is a three-dimensional organ that conducts in three-dimensional space. And from our three lead recording, we can, in the vector space, generate a synthesized 12-lead, which is the standard of care that cardiologists and clinicians use to evaluate cardiac activity. So the information content in a 3D vector cardiogram is fundamentally more informative to the clinician because we output it in a format of synthesized 12-lead that they're used to reading and it has infinitely more information in that recording than just a single lead can provide. So it's a fundamental difference and neither KardiaMobile card or the Apple Watch detect for ischemic events, and our device is specifically designed to look for ischemic events because they are, by nature, very difficult to spot in a single lead recording versus a 12-lead, for example. So
Rick Brounstein: That concludes our webcast questions.
Operator: I would now like to turn the call back over to Mr. Vajdic for closing remarks.
Branislav Vajdic: Thank you, operator. I would like to thank each of you for joining our earnings conference call today. And I look forward to continuing to update you on our ongoing progress and growth. If you were unable to answer any of your questions today, please reach out to our IR firm, MZ Group, who would be more than happy to assist. Finally, we also look forward to seeing some of you at our upcoming conferences, including the H.C. Wainwright 24th Annual Global Investment Conference. September 12 to 14 and A.G.P. Virtual MedTech Conference on September 21 followed by in personal The Dawson James Small Cap Conference, October 1 and -- sorry, the ThinkEquity Conference, October 26. At this point, I'd like to thank you one more time and wish you a good day. Thank you.
Operator: This now concludes today's conference. Thank you for attending.